Operator: Good morning. My name is Jeff and I will be your conference operator today. At this time, I would like to welcome everyone to the Huntington first quarter earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. Mr. Gould, you may begin your conference.
Jay Gould: Thank you, Jeff and welcome. I'm Jay Gould, Director of Investor Relations for Huntington. Copies of the slides we will be reviewing could be found on our website, huntington.com. This call is being recorded and will be available as a rebroadcast starting about one hour from the close of the call. Please call Investor Relations at 614-480-5676 for more information on how to access these recordings or playback or should you have difficulty getting a copy of the slides. Turning to slides two, three and four, you will note several aspects of the basis of today’s presentation. I encourage you to read these, but let me point out one key disclosure. This presentation contains both GAAP and non-GAAP financial measures, where we believe it is helpful to understanding Huntington’s results of operations or financial position. Where non-GAAP financial measures are used, the comparable GAAP financial measure, as well as the reconciliation to the comparable GAAP financial measure, can be found on the slide presentation, in as appendix, in the press release, in the quarterly financial review supplement to today’s earnings press release or in the related 8-K filed today, all of which are on our website. Turning to slide five, today’s discussion including the Q&A period may contain forward-looking statements. Such statements are based on information and assumptions available at this time and are subject to changes, risks and uncertainties, which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of risks and uncertainties, please refer to this slide and material information filed with the SEC including our most recent Forms 10-K and 8-K filings. Now, turning to today’s presentation. As noted on slide six, participating today are Steve Steinour, Chairman, President and Chief Executive Officer; Don Kimble, Senior Executive Vice President and Chief Financial Officer; and Tim Barber, Senior Vice President of Credit Risk Management. Also present for the Q&A session is Dan Neumeyer, Senior Executive Vice President and Chief Credit Officer. Let’s get going. Turning to slide seven, Steve?
Steve Steinour: Thank you, Jay. Welcome everyone. I will begin with review of our first quarter performance highlights, Don will follow with the detailed overview of our financial performance, Tim will provide an update on credit, and then I will return with some 2010 outlook comments what I hope you and other investors take away from today’s presentation. Let me begin the presentation turning to slide eight. We entered 2010 as a stronger company with underlying momentum and said we expected to return to profitability sometime in 2010. I am very pleased to report that sometime is now. We reported net income of $39.7 million or $0.01 a share this morning. This is a very significant step forward and represents a reset of expectations for the year. But we now expect to report a profit for the full year 2010. The results included a $38.2 million net tax benefit that Don will detail for you. As you think about the performance for the rest of the year, it's important to note that we continue to report very good improvement in pre-tax, pre-provision income. This was up 4% for the quarter and 16% annualized from the fourth quarter level and represented the fifth consecutive quarterly improvement. This is 12% higher than a year ago. We believe this positive performance momentum will increasingly differentiate us from number of our peers over coming quarters. Primary driver was a 5% linked quarter increase in net interest income as our net interest margin expanded to 3.47% from 3.19% in the fourth quarter. As we mentioned last quarter, the growth in investment securities in the fourth quarter was in short duration securities about 2.4-year duration. During the quarter, we modestly repositioned our interest rate risk position for more asset sensitivity for 2011. Don will provide details. We now believe our net interest margin for the rest of the year will remain around a 3.5% level. Average loans declined slightly as decreases in total commercial loans were partially offset by growth in average total consumer loans. Non-interest income was down due primarily to seasonal factors, though we saw good revenue growth in some key activities. The increases in expenses reflected a combination of seasonal factors, but also investments as well. Credit quality trends continue to improve as expected across the board, NPAs declined 7%. Importantly, new NPAs for the quarter declined 52% and charge-offs declined for the quarter 46%, and we saw early stage delinquencies or commercial loans down 13% and consumer loans down 4%. Turning to slide nine, while there are some signs of increasing economic stability in some of our markets, the economy remains challenging, and as such we thought it is important to maintain our reserve level essentially unchanged from where they were at the end of last year. Our provision for credit loss is $235 million, essentially matching the $238 million in net charge-offs. Our allowance for credit losses as a percent of period loans and leases was 4.14%, this was down 2 bps from the prior quarter. Relative to non-accrual loans, our reserve coverage ratio increased to 87% from 80%. Our capital position is strong. Our tangible capital equity ratio improved 4 basis points to 5.96 during the last quarter. And in contrast our regulatory Tier 1 and Total risk-based capital ratios declined slightly due to an increase in the disallowed deferred tax assets. Nevertheless the ratios are still strong and are $2.5 billion and $1.8 billion respectively above well-capitalized regulatory thresholds. Lastly, our liquidity position remained strong. We [fell] 5% annualized core deposit growth, and the period loan-to-deposit ratio was 92%. Period-end cash and investment securities were in excess of $10 billion. As shown on slide 10, in addition to some well deserved recognition of the hard work and success of our colleagues in delivering high quality and value-added services in the area of automobile, finance and treasury management customers, we also continued to move forward with the implementation of strategic initiatives designed to grow revenue. These included during the quarter, initiating 7-day banking in our Cleveland market, the first bank to do so; the addition of the team of seasoned commercial bankers in Michigan; the announcement of a 3-year $4 billion commitment to small business lending; the opening of two new Huntington Investment Company offices in central Ohio; and the hiring of nationally recognized mutual fund wholesaler to open up the distribution of our Huntington Funds through third-party channels. Each of these initiatives is specifically targeted to grow revenues. We are very excited about the opportunities these represent. With that in mind, let me now turn the presentation over to Don for financial performance details. Don?
Don Kimble: Thanks, Steve. As noted on slide 11, our net income for the first quarter was $39.7 million or $0.01 per share. One significant item impacted the quarter's results. We recognized the $38.2 million or $0.05 per share net benefit from an increase in the deferred tax asset related to loans acquired from Franklin in 2009. This benefit was partially offset by the charge related to certain provisions of the Health Care and Education Reconciliation Act of 2010. Slide 12 provides a summary of our quarterly earnings trend. The performance metrics will be discussed later in the presentation. So, let’s move on. On slide 13, we provide an overview of our pre-tax, pre-provision income performance. We believe this metric is useful in assessing underlying operating performance. We calculate this metric by starting out with pre-tax earnings and then excluding three items, provision for credit losses, security gains and losses and amortization of intangibles. We also adjusted certain significant items where applicable. On this basis, our pre-tax, pre-provision income for the first quarter was $252 million, up $10 million or 4% from last quarter and 12% higher than a year ago. This improvement clearly reflected the management actions taken over the last year and we continue to look for additional opportunities to improve our operating results. The most significant contributor to the improvement was our increased net interest income. This improvement will be detailed on the next slide. Slide 14 depicts the trends of our net interest income and margin. During the first quarter, our fully taxable equivalent net interest income increased by $19.6 million reflecting a 28 basis point increase in our net interest margin of 3.47% and a $0.6 billion decrease to our average earning asset. The margin change reflected several favorable impacts; first, with the favorable impact of our asset/liability management strategies. This impact primarily reflected two components. First, in the third and fourth quarter of 2009, certain interest rate swaps were identified as ineffective. During the 2010 first quarter, we terminated most of these swaps and rebooked similar new swaps, resulting a positive impact on net interest income. Second, we also entered into new swaps during the quarter to reduce our current asset sensitivity. The new swaps entered during the quarter were short in duration, an average of 1.7 years. While we are maintaining a very neutral interest rate position throughout all of 2010, we are positioned to become more asset-sensitive beginning in 2011. We have approximately $6 billion of interest rate swaps maturing in 2011. Second, we also continue to see our margin benefit and a shift in our deposit mix as well as continued loan and deposit pricing efforts. It is interesting to see that our margins have improved 50 basis points from a year ago. This improvement has occurred despite a shift in our overall asset mix, from loans to security, significantly improved liquidity position, maintaining a neutral interest rate risk position and a continued high level of non-performing assets. Continuing on the slide 15, we show the linked-quarter loan and lease trends. Total commercial loans were down $1 billion or 5%. The decline reflected the anticipated decline in commercial real estate balances from pay-downs and charge-offs. The $0.03 billion decline in C&I loans reflected the impact of a reclass of certain variable rate demand notes from commercial loans in prior periods to municipal securities. This reclass accounted for the entire decline in this linked-quarter balance. Total consumer loans were up by $0.9 billion or 6% from the prior quarter. The $0.9 billion increase in average automobile loans and leases, primarily reflected the $0.8 billion impact of adopting new accounting standards to consolidate the previous off balance sheet automobile loan securitization transaction. These balances are recorded at fair value. Also, during the quarter, our other loan originations remained strong. Turning to slide 16, we continue to generate strong core deposit growth. Total core deposits grew at an annualized 5% rate despite a $0.9 billion decline in core time deposits. We continue to be pleased with the shift in the mix of our deposit base to more transaction account. As noted earlier, this continued to drive the improvement in our net interest margin. Slide 17 shows the trends in our non-interest income category. Our non-interest income declined $3.7 million from the prior quarter. Deposit service charges were down reflecting both normal seasonal trends and the continued change in consumer behavior to reduce the underlying NSF/OD activity. Other income declined by $5.4 million as much as the prior quarter's benefit from derivatives ineffectiveness was recorded in other non-interest income. Our brokerage and insurance revenues were up $3.6 million, reflecting the impact of seasonally higher contingent insurance income and a stronger sales volume. The next slide is a summary of our expense trends. Total expenses were up $75.5 million from the prior quarter. This was primarily due to the fourth quarter $73.6 million gain on the debt redemption. Personnel costs were up $3 million reflecting the seasonal impact of higher employment taxes and high debt increases related to our strategic initiatives. We are encouraged to see the $7 million decline in the OREO foreclosure expense. Slide 19 is a summary of our capital trend. The current quarter's profit resulted in a slight increase to our TCE ratio from 5.92% to 5.96%. In contrast, regulatory capital ratio has declined slightly, reflecting a disallowance of a greater portion of our deferred tax assets. At March 31, we had $557 million of deferred tax assets, out of which only $167 million qualified for inclusion in the regulatory capital. Regulations require that we deduct from Q1 capital any deferred tax amount that we cannot demonstrate the ability to recover within the next twelve months period. This adjustment for regulatory capital calculation has no impact on our assessment of the realized ability for deferred tax assets. Based on the level of our forecasted future taxable income, there was no impairment in our deferred tax asset as of March 31, 2010. We remain very comfortable with our current capital level, even if we were to experience a more stressed economic environment. We do not have any current plans to issue additional capital. Let me turn the presentation over to Tim Barber to review credit trends. Tim?
Tim Barber: Thanks, Don. Slide 20 provides an update on our credit portfolio composition. We continued to see declines in C&I book as line utilization remains low and businesses continue to limit capital expenditures. As commercial real estate balances continue to decline as a result of our overall strategy to reduce the level of commercial real estate exposure. The bulk of the decrease occurred in the non-core portfolio based on both charge offs and payoffs. We were pleased with the performance of the core portfolio in the quarter as the asset quality metrics held steady. In the consumer portfolio, the only material change is the inclusion of the auto loan securitization in the balance as of March 31. These securitized loans were originated consistent with our high quality focus and will not have an impact on the ongoing credit quality performance. I would like to start the asset quality performance discussion with a couple of slides that provide a quantitative basis for our belief that our credit risk issues peaked in 2009. Slide, 21 is new to our disclosure and provides additional clarity on the underlying asset quality trends in the commercial portfolio. We have detailed the growth in criticized loan levels over the course of 2009 in prior discussions but we have now added a slide to provide the specific trends that have driven the changes over time. The 7% decline evident in the first quarter was the direct result of the significant reduction in new criticized loans. From a credit risk management perspective the reduced inflow is more predictive of future trends than an increase in resolutions the upgrades and pay downs. The trends are also directly connected to the non-accruing loan trends that we will discuss on a later slide. In summary, the decreased flow of loans into the criticized category is a qualitative indicator that there has been a change in the asset quality trends in the portfolio. Slide 22 demonstrates the improved credit quality associated with the consumer portfolios. Declining trends are evident across all of our portfolios in both the 30 day and 90 day past due category. The decline in the 30 day bucket has been steady since the second quarter of 2009 indicating that it's not simply seasonality or other time issue. All of the sub-segments reflect the same trends albeit at to different degrees. The 90 day past due loans are compromised primarily of real estate secured loans that have been written down to a realizable value, and only half of the 90 plus day past due loans are GNMA loans with full government guarantees. On the overall, downward trend is not as significant as the 30 day trend. We did not use the 90 plus category as a predictor of losses due to the write-down policies we have in place. All our markets continued to be impacted by the economic conditions, the declining delinquency rates represent tangible evidence that there are signs of improvement in our portfolios. Turning to slide 23. The commercial net charge-off on the left side of the slide shows a generally declining trend since the fourth quarter of 2008 with two notable exceptions. The outsized 2008 fourth quarter charge-offs included $128 million associated with Franklin Credit relationship. The fourth quarter of 2009 included a number of significant size relationships as discussed last quarter. The 2010 first quarter was consistent with our expectations based on our asset portfolio management throughout 2009. The graph on the right side of the slide shows consumer loan charge-off trend. The generally upward trend reflects our proactive loss recognition policies, including aggressive actions on bankrupt borrowers. The third quarter of 2009 included a non-performing residential loan sale as well as $32 million associated with the policy change to accelerate loss recognition. We were pleased that total consumer net charge-offs in the quarter were essentially flat with the prior quarter, combined with the declining delinquency rates noted earlier, we are confident the portfolio will perform within our expectations in the coming quarters. Turning to slide 24, I will walk everyone through the non-performing loan and non-performing asset trends. As shown on the graph on the left, non-performing assets declined 12% in the fourth quarter and we are pleased with the additional 7% decline in the first quarter. Our non-accruing loan ratio has fallen to 4.78%, or approximately the same level as the second quarter of 2009 before the expensive portfolio reassessment last year. The graph on the right shows the trend in new non-accrual loans. First, on absolute basis the bars, and then also as a percent of beginning period loans, the lines. You can see the significant influence to nonaccrual loans during the third quarter of last year was less than the impact of our portfolio reviews. This was followed by a 45% decrease in new nonaccrual loans in the fourth quarter and a further 52% decline in the 2010 first quarter, or two consecutive significant quarterly declines. The inflow of $237.9 million in the quarter represents accumulative 73% decline from the peak end of $900 million in the 2009 third quarter. As you can see on slide 25, we also continue to have success in generating payments and returning loans to accrual status. The Special Assets division has now been fully staffed for nearly a year and we are seeing the benefits of their work. While there will continue to be migration into non-accrual status, we are confident that the migration patterns will no longer generate the upside inflow seen in 2009. Turning to slide 26, I want to update you on our loan loss reserve position. After the significant bill in 2009 fourth quarter provision essentially equal net charge-offs in the first quarter. As a result, our period-end allowance represented 4.14% of period-end loan and leases narrowing slightly from 4.16%. However, we saw a meaningful improvement in our nonaccrual coverage ratio, which increased 87% of nonaccrual loans, up about 80% at the end of last year. We believe this level is prudent given the continued challenges in the economic environment despite some of the positive asset quality metrics just discussed. We remain committed to maintaining appropriate reserves and coverage ratios. Let me turn the presentation back to Steve to wrap up.
Steve Steinour: Slide 27, please. Let me share with you expectations for 2010, our purpose with comment about the economy as we said at the outset, we didn’t expect to see a significant economic turnaround in 2010. While we see some signs of stabilization and a key assumption is that that stabilization stays intact, or in fact gets little better throughout the course of the year. Certainly, don't expect double dip in the context of this outlook. So, having said that, the charge-offs of provision expenses are expected to show improvement further from the first quarter levels. Our allowance for credit loss is expected to decline on an absolute basis for the March 31 level. We are flattening the utilization of existing reserves for inherent losses in the portfolio. Loans are expected to be flat to up slightly from first quarter levels. On one hand, we expect increases in C&I and certain consumer segment. As customer confidence improves to be offset however by commercial real estate loan requires as we continue to reduce that exposure. We expect that then we'll remain relatively stable around 3.5%, but we anticipate continued growth of core deposits to grow our retail business customer base as well as increase cross-sell performance through existing customers. Fee income is expected to grow slightly from the first quarter level, while we expect growth in asset management as well as brokerage and insurance revenues that growth will partially offset by declines coming from Reg E changes in NSF/OD. Expenses are expected to increase slightly from the first quarter level, reflecting continued investments and growth and investments in key areas under the strategic initiatives. We believe the set of expectations will result in our reporting the operating profit for the full year. Slide 28 shows quarterly improvement pre-tax, pre-provision performance. We expect again to continue to improve it to get to the $275 million target in the third quarter. The achievement will largely depend on our ability to continue to drive net interest income as well as continued performance in those two other categories. Growth in net interest income is a factor as we expect the sheet will remain relatively stable, but the mix will continue to improve, particularly on the deposit side in the near-term. Slightly higher loan and investment securities balances will resolve, but continued growth in lower cost core deposits. Slide 29, in terms of key messages. First, the balance sheet is strong. Loans and investment securities, deposits, other funding, we like where we are with the balance sheet at this point. We have sufficient capital, as you heard earlier. No plans to raise additional capital. The credit performance continues to improve, reserves are strong, and problem assets are declining, net charge-offs and provision expected to further decline. We see increased opportunities in growing revenue and we are playing an expansion or growth game in the institution now. We are making investments to grow key businesses. We are getting stronger everyday. We do expect to hit that $275 million free cash flow provision level in the third quarter by driving revenue and we do expect to report a profit for the full year. So for us, that execution now, and we are getting stronger everyday and focused towards driving results everyday. So with that, let me thank for your interest in Huntington. The operator, will you open the lines for questions, please?
Operator: (Operator Instructions) Our first question comes from the line of Dave Rochester with FBR Capital Markets.
Dave Rochester - FBR Capital Markets: So now the possibility that the picture has improved significantly, are you thinking that TARP repayment is more on your chart right now or are you still looking for more stability in the macro-environment?
Don Kimble: No, we want to see more stability in the macro and, Dave, we want to spring at least one more quarter of profit. We are confident we are on the right path and when we get both of those, we have an outlook, we can have confidence and then we will revisit the topic. But now we do not feel any pressure to do anything at this point.
Dave Rochester - FBR Capital Markets: Okay. Thanks. And on the margin, you guys had some great expansion there and it looks like your CD costs are still around 280 with the core CDs around 290. It feels like you still are watering down on those and I would imagine a good chuck of those are maturing in the next six months or so? Is it right?
Don Kimble: You are absolutely right that our CD book has an average life of under a year so we will see a lot of that mature. I think part of the impact you are probably seeing there is two we are shrinking that book so where others might be maintain their level and showing the mixed change to lower rates. We are not getting that same level of benefit on the absolute rate level.
Dave Rochester - FBR Capital Markets: Are you guys looking to ultimately write off an entire brokerage CD portfolio at this point?
Don Kimble: We really don’t have a need for it. So we have been managing that down, haven’t been originating new ones and see that as a challenge to make sure that we can fund the balance sheet with core deposits and hence we want to make sure that we can deliver against that.
Tim Barber: And project.
Dave Rochester - FBR Capital Markets: Great. On the core CD portfolio, where you are re-pricing those now?
Don Kimble: It depends on the maturity but it's around to 0.15 or so as far as the new time that it's coming on.
Operator: Our next question comes from the line of Ken Zerbe with Morgan Stanley.
Ken Zerbe - Morgan Stanley: Just on the comments that you are making about asset sensitivity can you just maybe explain that in a little bit more in detail? I am more curious as to why you are putting on swaps to reduce your assets sensitivity. Does it provide like a one time gain? Or does it provide higher inventory in 2010 but then goes away next year? How does that work?
Don Kimble: Typically from an asset sensitivity position it won't be slightly liability sensitivity when there is steep yield curve. Our balance sheet migrates asset sensitivity on it's own without any additional adjustments. Our position here is that we don't think that interest rates will increase significantly throughout 2010, and so we want to keep a fairly neutral position throughout the current calendar year. As I noted in my comments that we expect to have a $6 billion of swap mature throughout 2011, and that will give us plenty of opportunity to take the balance sheet to be more asset-sensitive at that point in time. There is a slight margin pick up that comes from being more liable sensitive in a steep yield curve, but the new swap we have on the books, they are yielding anywhere from 70 basis points to about 140 basis points and as I said, under a two-year duration. So there isn't a significant earnings play there. It's more trying to keep neutrality throughout this year and position the balance sheet, so as rate do increase in 2011, and that we can base it from that in the future.
Ken Zerbe - Morgan Stanley: And did you guys take any gains on the swap combinations you did in the quarter?
Don Kimble: We did not take any gains through the P&L. The gain is essentially an amortized throughout the remaining life of those swaps, and that's part of the reason we had some pick up in the margin from that.
Ken Zerbe - Morgan Stanley: The other question I had was on the disallowed DTA. Can you just talk about the path or recognition of that disallowed DTA now that you are profitable? How quickly does that come back in the earnings?
Don Kimble: And we have already stated that our due capital.
Tim Barber: And as far as regulatory capital, in fact, we start to see that come back in 2011 and most of it's realized by some time early in 2012, but essentially what's created a chunk of that is because we have a larger allowance for loan losses, and the tax deduction doesn't occur until charge-off takes place.
Operator: Our next question comes from the line of Mathew O'Connor with Deutsche Bank.
Mathew O'Connor - Deutsche Bank: I'll ask the same question I asked last quarter, 5.25, the additions to non-performing assets, down sharply last quarter. We are all wondering if that had been a sustainable level. I guess it wasn’t it came down over 15% this quarter. We know there's always some seasonal patterns and things like that do we expect any of that to bump up a little bit?
Don Kimble: Second quarter, that is normally a quarter where you would expect to see some increases, but we are coming of such high levels, we do not expect to see any meaningful increase in this one.
Mathew O' Connor - Deutsche Bank: Then maybe I missed it, but just the all in outlook for NPAs from here then would be still to trend down?
Steve Steinour: Trend down.
Mathew O' Connor - Deutsche Bank: Then just separately, can you talk a little bit about the yields that you are getting in the auto loan portfolio, I know there was the off balance sheet consolidation, but I think you have some growth axe that some kind of absolute yields is that booked generating right now?
Don Kimble: Gross yields are probably in the 5.5% to 6% range as far as the underlying assets and continue to be a very nice positive spreads for us even after considering the credit cost and the new originations are very low credit cost if I go 2010 and well expected loss rates so we have been very pleased with that production.
Operator: And our next question comes from the line of Scott Siefers with Sandler O'Neill.
Scott Siefers - Sandler O'Neill: Steve, first question is probably for you. Just on the level of your reserve. You said last quarter that despite may be drawing down the allowance being part of the outlook it wouldn’t be necessarily a bigger earnings driver. Just given another 90 days what's the data on your little more update commentary on credit does that still hold through there be a bit more material reserve released throughout the year?
Steve Steinour: The reserve release will be tied to material improvement and change in credit quality. We do expect credit quality to get better, but in terms of the commentary about profitability for the year is not contingent on reserve release. We are expecting it to be able to drive it from the core, and if this reserve release based on improved asset quality that would be incremental.
Scott Siefers - Sandler O'Neill: And then Don, I have separate question for you. I was just hoping you could just try to little more color on the margin, I guess sort of two separate questions within there. I guess if I had thought about it a year ago, and I guess if somebody is going to stay neutral from a rate perspective will increase their liquidity and will be increase in the percentage of securities relative to loan. That wouldn't necessarily if that’s where the margin was going to improving in one year what your guys did? I certainly understand everything is going on the deposit side, but maybe if you can just give a little more color on the improvement and then conversely just given the opportunity it looks like it's still there on the CD side, why wouldn’t there be some more expansion beyond what we've seen already.
Steve Steinour: That's suggestion of good management.
Scott Siefers - Sandler O'Neill: I got it.
Don Kimble: 10 years down the road. No, as far as the margin expansion you're right. There were a couple of factors that help drive it for us this year that if you look at the deposit mix change about half of that 50 basis points is really coming from that mix change that we saw throughout the year. I tribute most of the rest of that margin improvement coming from both, deposits and loan pricing that we're seeing much wider spreads on loan originations than we were, say, 18 months ago and our deposit rates for new time deposits and other products have come down as well, so that's helping us to drive the margin, so I’d say those are both contributing factors.
Scott Siefers - Sandler O'Neill: Then maybe just add presumably there is little more mixed opportunity on the deposit side, particularly with the CDs. Why wouldn't that maybe help the margin expand a bit more than the current outlook would suggest?
Steve Steinour: Good question, but sorry not following up on that. It's a couple of things. One is that the first quarter does benefit from the day count, so that is about four basis point lift from the margin from there compared to future quarters. I'd say that the other constraint factor is that this quarter our average earning assets were down slightly. We expect our deposit growth to continue outpace our loan growth throughout this year. As that adds to earning assets, we don’t get the same incremental 3.5% spread on the investment securities compared to the deposit accounts, and so we think that it can be return to the overall margin even though will be added to net interest income.
Operator: Our next question comes from the line of Tony Davis with Stifel Nicolaus.
Tony Davis - Stifel Nicolaus: Table or slide 25 shows there's gradual decline in loan sales, and I am just wondering what happened to the pace of all raw land and lot dispositions here recently, and what we probably should expect from the sad folks efforts here going forward in terms of caller disposition rate.
Steve Steinour: It's a seasonal slow in the first quarter, Tony, and you will see pick up in two-three and maybe four, but certainly two or three at this point and these are OREO sales, so we would expect activity to be consistent, if I hear it's. Dan, you want to add to it?
Dan Neumeyer: No. I think that’s exactly what I said. So, the seasonality is perhaps the biggest factor. We’re moving in to a timeframe where the markets have opened up a little bit and there are going to be interested parties in the property.
Tony Davis - Stifel Nicolaus: Steve, do you have any thoughts or line about how long it might take to unwind the non-core CRE component?
Steve Steinour: As we said last time, we think it's at least the couple of years, it could be longer. There is some encouraging signs about CMBS markets starting to open up. I think, there was a multi issuer. I don’t see it coming back quickly and conversely I don’t see it. We are not feeling any pressure to dump it or to get to a disposition. We are going to do this with a lot of focus around capital impacts and make the best decisions running with this level of NPAs and a 3.5 NIM, I wouldn't have thought possible last year. So we’ll keep working it, reducing it/ Remember in these NPAs, you got roughly $350 million of Franklin already marked. So just because of the rest we are reporting something that distorts us a bit, penalize us, if you will with a higher level of NPL.
Tony Davis - Stifel Nicolaus: One question, you are already gearing up in asset based lending. The question is, is as the run off continue, in the riskier segments, what will you expect in reasonable time period in terms when we see the real mergers of aggregate loan growth as the years play out?
Steve Steinour: In part of function of the economy, there is a increasingly competitive market. All of that is facing run off and so that’s changing competitive dynamics fairly quickly. There is not an enormous amount of net new investment for demand. I think we start to see some stability and outlook that could change in the second half but for us I think we are going to be replacing non-core real estate amortization with C&I and maybe some consumer growth for a while. So I think our capital efficiency is going to get better over time but not necessarily a lot of growth in the balance sheet.
Operator: Our next question comes from the line of Bob Patten with Morgan Keegan.
Bob Patten - Morgan Keegan: I have two parts to the same question and it's really about thinking forward the big picture. It really revolves on how does Huntington build capital to look at Q1 comments about 6.5%? A lot of the raisers we have seen to-date have raised above that quite a bit. We look at the balance sheet now, the shrinkage is mostly behind you and then if you look at the issues around what you need to do to pay off those TARP and I am respectful of how you have described it, sorry Steve. I am not looking to pin you down but just a thought process you have to be profitable you guys are there, the view is, you had to show access to the capital market so maybe some debt raising at some point. What is your thought process on how Huntington begins to build capital?
Steve Steinour: First I think it comes from the core. We are, as you know we are intending to increase pre-tax pre-provision and at the same time with credit metric improving roughly the rate from the result of the first and fourth quarters. We are going to be in a position where we have going to have to look at reducing the overall levels of reserves. So a combination of those factors there is a potential as markets stabilize perhaps in some other respects of that, the deferred tax asset overtime and we may even see some OTTI or OCI as markets again stabilize but principally at this point from…
Bob Patten - Morgan Keegan: Okay, and Steve within the process who is your key regulator in this decision process when you final dig it to the point you want to address the issue of staying off TARP?
Steve Steinour: TARP, for any bank holding company would be the key decision maker is Fed. You will start with your primary bank regulator support but the Fed has in effect final say.
Don Kimble: Bob, just I wanted to say on few comments that Steve made there as far as our capital ratios. Keep in mind as Steve said the DTA is negatively impacted. That’s about 84 basis points impact to our Tier I common ratio as that will come back organically through the earnings generation over the next couple of years. The other thing that Huntington is little bit different than some of our peers as well because we have a convertible preferred that’s not our normal convertible preferred. If you would add that to our Tier I common equivalent, that’s another 70 basis points. So those two combined would put us over 8% on a core basis adjusting to those two item, and we think that puts us in very some very good standing as far as our capital position.
Operator: Our next question comes from the line of Terry McEvoy with Oppenheimer.
Terry McEvoy - Oppenheimer: Just one question. With credit becoming less of a concern more of a focus now on revenue growth. It seems to be there's maybe a consensus view that the Midwest is just not a growth market, and the only way for a bank like Huntington to show organic growth would be through market share gains. Would you agree with that statement? Do you think it's may be a little too aggressive? Then as you look at you market share both sides of the balance sheet, do you think would maybe the energy that Huntington has, and there is the ability to grow market share in your core markets?
Steve Steinour: We believe so, Terry, on both the sides of the sheet.
Terry McEvoy - Oppenheimer: Then in terms of just you overall comments on the Midwest as you talk to your customers, do you get a sense that there is organic growth in terms of loan demand business activity that could just surprise the markets on the upside over the next few years?
Steve Steinour: Auto clearly would be up year-over-year. We just had a series of small business round tables in six markets such may be 100 small businesses. I would say the vast majority of those business orders were bullish about this year in terms of revenue up and the majority expected to higher. I think the majority also expected to make some capital investment. Now if that proves to be reflective of the market overall that could be a little bit positive than expectations. Having said that its still, Midwest gets painted in one brush. It's more diverse than that, but there were some very tough areas in the Midwest in our primary market, so there's some reasons for optimism, we'd view it cautiously.
Operator: Our next question comes from the line of Ken Usdin with Bank of America.
Ken Usdin - Bank of America: Just one question on commercial real estate, I was just wondering if you could just give us a little color on migration trends within that book. Obviously, the early stage during if you look, but can you walk us through single-family homebuilder that seems to be pretty much addressed. Can you just take us through the kind of the sub-buckets and give us sense of confidence you have that you netted down on that book. Thanks.
Steve Steinour: Why don't I start with the comment then I'll look up page 92 in the deck. For those of you have the deck, and you saw a little bit of reduction in the core 68 million, and combination of charge-off and other changes drive the non-core down. Importantly for us the core was very stable in the first quarter. We have only one relationship out of all relationships in the core become a setback and that happened at the end of the quarter because of some unexpected lease issues in a property that we don’t finance, but it impacted however in a significant way. We are feeling, if we could buy that performance for the core next year, we do it today. We are feeling very good about the core. Then I will take you to the buckets, and I will turn it over to Tim.
Tim Barber: Hey, let me just go through a couple of them. A single-family, as we talked about last quarter, we really feel that's not a major driver of performance going forward.
Steve Steinour: Slide 88.
Tim Barber: That bucket is in fact retail. Retail continues to be an issue across our markets. We've been very active in the ongoing portfolio management of those properties or that product type. You can see on 87, what our current performance is. We are happy with some of it. Delinquencies are flat, the classified number is in fact up, but non-accruals are down a little bit, reserves are down a little bit, we really feel like that’s flattening out as the overall portfolio metric would indicate. The rest of the portfolio is comprised of office, warehouse, would be the couple of the other drivers. We’ve never had a material issue with the office space. It's primarily suburban so there is no downtown business district powers that we have to worry about and the rest of the portfolio we continue to work aggressively on. But I really think that the commercial real estate Steve's comments around the core versus non-core are where we are focused going forward.
Ken Usdin - Bank of America: One quick follow-up just on franchise geography. Can you just give us a little color on how the different areas of the franchise do you expect to rebound and kind of where they are in their economic recovery couple of banks have even mentioned that Michigan maybe starting to bottom a little bit, I'd love to get your thoughts on that as well. Thanks.
Steve Steinour: The auto zone, which would be East Michigan, Toledo through Cleveland very, very challenged, may be flattening out right now but it's flattening out at a pretty decent depth. Western Michigan is like they are different than East. In the East Cincinnati, Columbus Pittsburg and West Virginia are actually getting through the cycle of pretty good shape. So we almost have to deal two worlds in our footprint. Is that what you were looking for or your want more?
Ken Usdin - Bank of America: Yeah, I was just wondering. Do you expect to see resumption of growth coming out of the Michigan footprint on the loan side? Or is it going to be more from the other parts of the footprint as we come out of the cycle?
Tim Barber: We’ll see it in Western Michigan and I think perhaps later this year, but not near-term. It may be east as they just keeps going. But our demand will primarily come out the Indianapolis since the Columbus, Pittsburg markets.
Operator: (Operator Instructions) Our next question comes from the line of Erika Penela with UBS.
Erika Penela - UBS: My first question is on the fee income guidance for the year. Could you remind us how much NFS overdraft is over your deposit service charges? And what you estimated to be the impact of Reg E?
Steve Steinour: What I can do is spread out all the color as far as the NFS/OD that you see and approximately updated plan about $300 million of deposit service charge of the year. About $180 million of that come from NFS/OD overall. Roughly about a $100 million coming from the NSF/OD associated with either ATM debit card transaction. So, that’s the potential universe I guess as far as the impact. We haven’t official disclosed what our plan is as far as addressing that but we are working through that and do believe that we will be able to mitigate losses associated with some of the Reg E impact that will provide more color at the end of the second quarter with the actual plans and the notation plan of TARP associated with that.
Erika Penela - UBS: Okay. And my second question is on the restructured resume mortgage. I assume these are mostly all loan mod? The $243 million?
Dan Neumeyer: That’s correct.
Erika Penela - UBS: And could you share with us the reserve that you have taken for that $243 million and what the underling re-default rate you have assumed when determining that reserve?
Dan Neumeyer: Sure. I don’t know that the reserve specifically associated with those loans. We can get that for you if you would like. I can tell you that only 27% is about the number that have gone delinquent subsequent to the loan modifications last week structure. So we are reasonable pleased with that recent decision when compared to some of the industry numbers we see.
Erika Penela - UBS: And how long is the forbearance period typically?
Dan Neumeyer: Let see, I don’t know if there is a typical number of that. We would generally be solving issues. We could have a one year look or a two year look. We are not necessarily creating. We are not creating 30 year fixed adjustments.
Operator: Our final question comes from the line of Brian Foran with Goldman Sachs.
Brian Foran - Goldman Sachs: As we think past the third quarter in the $275 million of pre-provision target you would be at then, what are kind of the key positive and negatives that would make go higher flat line from there? Is it more about the environment and resumption of C&I loan growth and things like that, or are there further internal opportunities that could drive pre-provision higher than $275 million even if the environment remains sluggish?
Don Kimble: This is Don. We are going to take the rest of the year off after getting $275 million in the third quarter it can be short of that, but we think there are a number of initiatives. The growth of $275 is something in the economic environment that's very challenge. We think that once the economy does start to recover, we will see a rebound in our commercial lending balances and other activity will actually suggest that, but more importantly as part of our strategic planning process, we are identifying other factors that can help move the dial even further and one of the key components of that is continue to deepen our share of wallet with our existing customers, and so focusing on that will continue to be a driver for us as for as continued improvement in that pre-tax, pre-provision operating earnings.
Operator: We have no further questions at this time. Sir, do you have any closing remarks?
Jay Gould: Yes. This is Jay Gould. Again, thank you for participating in our call. Our slide decks are on the Investor website, where you can find them. We look forward to seeing you next quarter. Thank you again. If you have any questions give me a call. Good night.